Said Darwazah: Good morning, everybody. We're very happy that you're here with us today on this, finally, sunny August day in London. Here are the highlights for this year. After the excellent performance that the group had in 2013, I'm very pleased that we have achieved such a strong set of results in the first half this year. At the same time, we have continued to make important strategic progress and strategic businesses. In MENA, the key to driving future growth is new products. We've continued the strong momentum in new launches this year and we have strengthened our promotions teams and enhanced our marketing activities. The global injectable business, it has delivered a really excellent performance, particularly in U.S. where we have had some great product opportunities. I'm delighted with the acquisition on the Bedford assets, which will be a key driver of future injectable growth. Bedford has a large and high value portfolio combined with a strong pipeline and excellent R&D capabilities. I'm also very pleased that we were able to maintain strong generic revenue in the first half after such an outstanding year in 2013. We've been successfully re-launching legacy products and we're actively looking to grow this business through pipeline development and targeted M&A. Across the group, our strategic focus is on investing for growth, expanding our portfolios, facilities and geographic reach. And I believe we're making excellent progress. I'll now hand over to Khalid, and he will go through the financials.
Khalid Nabilsi: Thank you, Said. Good morning. I'll start by quickly reviewing the financial highlights. As you can see, the group delivered very strong results in the first half. Group revenue was up 16%, and adjusted diluted EPS was up 43%. This excellent growth in revenue and profitability reflects very strong performances from the injectable and generic businesses. The Board is recommending an interim dividend of $0.07 per share as well as special dividend of $0.04 per share to reflect the exceptionally strong performance of our U.S. business in capturing specific market opportunities in the first half of this year. I'll move to the branded; revenue was stable in the branded business in the first half. Markets like Saudi Arabia and Egypt had a very strong start to the year, driven by new launches and a focus on strategic products. Sales were lower in Algeria where we have taken measures to more proactively manage our relationships with distributor and limit our credit risk. Political disruptions in Sudan, Iraq and Libya also had a significant impact during this period. While as the gross profit and margins remained in line with the first half of 2013, our increased investments in sales and marketing this year led to a reduction in operating profit. This investment will support future growth and will enhance the promotion of new products in key therapeutic categories. We expect the branded business to deliver stronger growth in the second half, including a pick up in Algeria, where we have strengthened our management team across key business functions. However, we have lowered our full year revenue expectations for Algeria and Sudan, and we also expect the disruptions in Iraq and Libya to further impact sales this year. Overall, we now expect revenue growth for the full year to be in the low single-digit, resulting in an adjusted operating margin below 2013. Injectables; the injectable business has made an excellent start to the year, delivering 41% revenue growth. In the U.S., the business delivered strong underlying growth enhanced by successfully capturing a number of specific market opportunities. Our broad portfolio, strong quality track record and high customer service levels continue to be competitive advantages. Revenue in MENA has been stable in the period. In Europe, revenue was lower due to the allocation of manufacturing capacity towards U.S. sales rather than contract manufacturing services. A significant increase in adjusted operating profit and the exceptionally strong margin reflects the attractive market opportunities in the first half. We continue to expect the market opportunities that have been strong contributors to the revenue and profitability in the first half to slow down in the second half of 2014. We're therefore reiterating our guidance for the full year of over 20% revenue growth and adjusted operating margin around 35%, prior to the slight dilution from the Bedford acquisition. Let's talk a little bit about Bedford, this slide shows that estimated impact on the group P&L from the acquisition of the Bedford assets and Ben Venue manufacturing sites. The Bedford products will start generating revenue from 2016 as we re-launch them to the market. We expect to have around 20 products re-launched by 2017 with a revenue contribution of around 150 million. Operating cost will primarily comprise the cost of a tech transfer, the Bedford products to our other global manufacturing facilities, the cost of operating Ben Venue's quality and development center and adding their R&D team and the hibernation cost attached to the Ben Venue site, which is not currently in operation. In the near-term, we're planning to transfer certain equipment from Ben Venue site to add capacity to other facilities within our group. In addition to the operating cost, there are also amortization, financing and transaction cost, which will impact the group P&L. Overall, we expect the Bedford assets to be slightly dilutive to earnings in 2014 and 2015, and then strongly accretive from 2016 onwards. Generics; the generic business delivered revenue of 128 million in the first half, reflecting the continued benefit from the specific market opportunities and increased revenue from the re-introduction of products at our Eatontown facility. Adjusted operating profit was 79, and margin was 61.7%. Reported operating margin was significantly higher in the first half of 2014 compared to the first half of 2013 when we incurred significant plant remediation and other costs. We expect a slow down in certain market opportunities in the second half, which will mean the weighting of revenue and operating profit will be towards the first half. However, as a result of the strong performance in the first half, we now expect full year revenue for the generic business to be around 200 million with an adjusted operating margin of 45%. Cash flows; as you can see, our group operating cash flow was 200 million in the first half, up 47%. This reflects the very strong performance of our U.S. businesses. The primary uses of cash have been CapEx and product-related investments and the cash conversion for the group of 27% was extremely strong. CapEx; we spent 31 million on CapEx in the first half. Two thirds of this was spent in MENA maintaining our plants and upgrading our equipment and facilities across a number of markets. For the injectable business, CapEx has been spent on installing capacity, including a pre-filled syringe line. We expect CapEx to be around 80 million for the full year. Intangibles and product-related investments; across our businesses we're continuing to invest in the development of our product portfolio and pipeline. In the first half of 2014, we spent 14 million of product-related investments across the group. This was in addition to our internal R&D spend of 19 million. Capital investment in products is expected to continue to increase. Balance sheet; as you can see, our balance sheet is extremely strong with cash flow in the first half -- with our cash flow in the first half reducing our net debt position by over 90 million. The Bedford acquisition closed in mid July; the upfront consideration of 225 million was financed through new debt facilities. However, our gearing remains very manageable and gives us substantial scope to increase borrowing as and when required. Given the increase in debt to fund the Bedford acquisition, we now expect financing expense of around 38 million for 2014. We're considering different structures to re-finance our old and new facilities. Outlook for 2014; following an excellent first half performance we're very pleased to reiterating our full year guidance for the group revenue growth of around 5%. We have lowered our full year expectations for the branded business. However, this impact is being offset by very strong performances from our injectable and generic businesses. Once again, we're benefiting from the strength of our diversified business model. Thank you very much for your attention. And now, I'll hand back to Said.
Said Darwazah: Thank you, Khalid. I'll start with the branded; Khalid has talked this morning about some of the challenges that we have been facing in certain MENA markets this year, what I want to draw your attention to is the strength of our underlying businesses across the region, which enables us to remain very optimistic about the outlook. Our competitive stance in MENA rests on our product portfolio, our route to market, and the quality and scope of our manufacturing footprint. Looking first at our product portfolio; our strong market position in MENA reflects the size and breadth of our product portfolio, our ability to continue building on this through new product launches is what will drive our future growth. The strong momentum and new launches that you can see from this chart reflects the strength of our central R&D supported by our investment to establish strong local R&D centers in key markets such as Egypt and Nigeria. This strategy is driving a high level of new product launches and also enabling us to tailor our product portfolios to take advantage of individual market opportunities. In MENA products typically take up to three years to reach a peak in sales. This lag affects means that you haven't seen the full benefit from recent launches which will be a key driver of future growth. Obviously our success depends not just on the quantity of new product launches, but their quality. Our goal is to be the first or second generic on the market as this helps to maximize the potential of our product both in terms of pricing and in promoting our grant to doctors and patients. This slide shows a number of good examples where the strategy has been successful, for example, in Jordan, we launched the first genetic of Imatinib. Our strength in promoting the product has enabled us to take at our 90% market share. Our experience from setting this product in Jordan will help us in maximizing this product's potential when we launch it in other markets. Another example is in Egypt where we recently launched a product called Feburic. We did this ahead of the originator we will market and we have 100% market share as a result, where possible, we will continue to focus our R&D efforts or enabling to have early market entry to bring the best opportunity for our products. A key component of our strategy in MENA has been to establish a strong local manufacturing presence across the region. We have facilities in seven countries with more than one plant in some of those countries depending on the market demand and opportunity. Well, there have been sizable costs establishing our manufacturing footprint. It can also have benefits to provide the competitive advantage. To give you some examples, in markets such as Egypt and Morocco, it is a regulatory requirement that pharmaceutical companies manufacture products locally in order to sell them in those markets. In Algeria, manufacturers, they produce a product locally can prevent that product from being imported by competitors. We have a number of products in our portfolio where imports are no longer allowed in the markets. In some markets such as Saudi Arabia local manufacturers typically see faster product registrations increased speed to markets. Locally manufactured products also received preferential pricing in certain government tenders providing a competitive advantage over imported products. The strength of our route to market in MENA is another key differentiator. This requires both a large sales force and strong distribution channels in each of our markets. We currently have a team of over 18,000 sales people across our region. Our teams are responsible for both detailing doctors to drive prescription volumes and listing pharmacies can show their whole sufficient inventories and are knowledgeable about the quality of Hikma products. How we distribute our products is also extremely important to our competitiveness. Our distribution approach varies by market. In certain markets such as Jordan, Sudan and Saudi Arabia, we have our own distribution companies which we use in conjunction with third-party distribution companies. In other markets particularly where there is a regulatory requirement to use local distributors, all of our distribution is done through third-parties. Optimizing our distribution arrangements can something be challenging as we have seen the seer in Algeria. However, we have generally been very successful at building excellent long-term relationships across our markets which puts us in a strong competitive position. We move to the injectables, our strategy is to be a leading global manufacturer of genetic injectables. Our focus is on maximizing our portfolio of opportunities, building a strong pipeline, maintaining high quality manufacturing facilities, investing and growth through CapEx and M&A and developing strong teams across our business functions. The acquisition of the Bedford and the Ben Venue manufacturing site supports each of our strategic objectives for injectables, and will be a key enabler of delivering future growth. A key strength of our injectables business is the size and breadth of our product portfolio. This helps us to build strong relationships with customers and maximizes our potential to take advantage of market opportunities like the ones we are seeing in the first half of this year. Across our injectables markets, our focus is on maximizing sales of higher value products. In the U.S. in particular our ability to improve the product mix in this way has enabled us to drive stronger venue growth and excellent profitability. The Bedford acquisition significantly expands our existing portfolio and the broader product offering will strengthen our relationships with customers. At the same time the Bedford portfolio will add a number of higher value products in areas such as oncology and will improve the overall mix of our portfolio. Although our priority is to launch the Bedford products in U.S., we expect that there are excellent opportunities for a number of these products in our European and MENA markets. The continued growth of our global injectables business relies on a strong product by plan. We continue to increase our investment and internal R&D while supplementing this with external partnerships, product acquisitions and licensing agreements. We are focused on developing new technologies as well as products. Following the agreement you signed with Unilife in November of 2013, we have completed the installation of a pre-filled syringe line and submitted our first trial to the US FDA. The Bedford acquisition significantly strengthens our existing pipeline. From the 82 Bedford products we are tech transferring an initial tranche of 20 products to our other facilities. We hope to re-launch the first of these during the second half of 2015 and to have all 20 products back on the market by 2017. We will bring additional Bedford products back to the market thereafter. We have also acquired Bedford's pipeline and there are 13 different products and 11 of those under development. These include a number of differentiated products such as Paragraph IV and some first to file opportunities. We are delighted that Bedford's experienced R&D teams have joined Hikma as part of the transition. The team will help us to expedite the tech transfer program for the federal products and will significantly strengthen our existing R&D capabilities for future product developments. Our strong track record of regulatory compliance has been a critical success factor for our injectable business. We continue to invest in maintaining the highest quality standards while exercising tight control of overhead costs. In 2014 we have added capacity. In Portugal we are completing the installation of a new higher volume high speed line and a authenticated R&D line. In the U.S., we are in the process of installing a pre-filled syringe line. The strength of our global markets and facilities meant we were well positioned to complete the Bedford acquisition. By tech transferring the Bedford products to our own facilities will able to optimize our capacity utilization and reduced unit costs. In July, we also agreed to acquire the Ben Venue manufacturing site. The site includes a state of the art quality and development center and the larger month of very modern high quality equipment, some of which we will be transferring to our other manufacturing facilities. Genetics; in 2014, we have been actively developing our strategy for the genetics business. We are continuing to reintroduce our legacy product portfolio to the market and we have been prioritizing the products with the next market opportunity. We have now reintroduced a total of 23 products at our Eatontown facility, and we are targeting to re-launch about ten more products in the second half of this year. At the same time we are leveraging our US FDA approved facilities in MENA which are currently producing around 36 products for the U.S. market. There a number of benefits to the strategy including flexible manufacturing for market opportunities, scale advantages for larger batch sizes and the capacity to accelerate R&D. At all of our facilities there is strong commitment to regulatory compliance and efficient manufacturing. Continuous improvements and enable increased production outputs and cost reductions. As well as focusing on our legacy orals business in the U.S. we are developing our old portfolio and pipeline and other related areas such as dermatological, transdermals, ophthalmics and inhalations that have attractive market dynamics in terms of various entry and the competitive landscape. We are gradually developing a strong product pipeline which includes some differentiated market opportunities that could include 505(b)2s and authorized generics. As well as investing in our internal R&D pipeline we have strengthened our business development team. We're actively looking for strategic partnership opportunities and you are exploring targeting M&A. For the group, my favorite slides. I'm very pleased with the performance that we have delivered in the first half particularly after such an outstanding year in 2013. While growth in the MENA will be lower this year our underlining businesses remain strong and then investment we continue to make in sales and marketing, R&D and capacity, meanwhile we are well positioned to deliver stronger growth going forwards. Our injectables and generics businesses are performing very well. We have been extremely successful in capturing market opportunities. We continue to make excellent strategic progress across the group. In particular, I believe the Bedford acquisition will have a transformational impact on our global injectables business and I'm very excited about the potential for those assets. We continue to have a strong balance sheet and our teams across the group are looking very actively for further business development and M&A opportunities. With that I thank you and we are now open to take your questions.
James Gordon - JP Morgan: Thank you. James Gordon from JP Morgan, a couple of questions please. One was about the proportion of your revenues and your earnings at the moment are coming from what you could call one-off opportunities. And for the dividend, if I look at the total dividend, just over one-third of it is special dividend. Is that a fair reflection of how much of your earnings at the moment you think are coming from one-off opportunities that could fade out near-term?
Said Darwazah: Well, we have been saying for a long time that whenever we find opportunities on the market we have shows that we have a good ability to capitalize on the market. And we've had some very strong strategic, some strong opportunities that we have capitalized along. It's very difficult to see how long, how far they will go, so that's why we now have guidance, we always take the route that they might not be there anymore. But clearly there have been -- when you look at margins of the injectable business and saw clearly there have been -- a lot of those margins have been driven by the special opportunities.
James Gordon - JP Morgan: One other question I have is on M&A and why we focus is I know you said that your teams are focused on many areas, but would it fair to say that branded generics is less of a focus because some of the areas that you were looking to, M&A, now have some disruption. We could still be dealing somewhere like Russia we …
Said Darwazah: I always say you have a strategy, but you should always look out for opportunities. So you might be focused on doing something and then you have seen opportunity, another area. And if it makes sense to take it -- so we have to very flexible in this business. That's our strong strategy which cannot be very rigid. So we'll be looking at opportunities in other emerging markets. We're still actively looking at Russia. We're still actively looking at Turkey and other markets, but we are also looking how to grow the non-injectable U.S. business as well as consolidating the U.S. injectable businesses. We have different teams in different regions and different departments.
James Gordon - JP Morgan: A final question, it should be for branded generics in terms of the development of the profitability in the second half versus the first half. It sounds like revenue growth will be stronger in the second half than the first half. Is there any reason profitability wouldn't be better in the second half?
Said Darwazah: The branded business, we have to, again, explain it very well. The key markets we have such as Egypt and Saudi Arabia, Jordan and the markets that are mature and did not sieve as a political or other kinds of problems. We are doing extremely well in that. In Algeria, we see Algeria as being the most important market moving forward. We think it will be the fastest growing and will probably be the first to reach over $5 billion. This year we thought was a very good term for us to make changes to put us in a very good position to capture the future potential, so we upgraded the team. We now have people that are now more senior and more mature. The other big issue in Algeria, as we said, in many markets we have our own distribution. In Algeria, the distributors are becoming very, very strong and are also starting to impose all sorts of ways that they want to do the business. That's a classic case of a lot of struggle between us and the -- and we think this is the perfect time to do this, so that we can put in structure that was more favorable to our results rather than giving most of the profitability to the distributors and wholesalers. Actually, if you look at IMS numbers, Algeria market growth is 11% for us this year. So, the business is doing extremely well. It's just a case of arm wrestling with the distributors and finding the best way to move forward. So we are very comfortable with the way that Algeria is doing and how we are going to grow the business. In markets like Iraq and Libya, it has been very difficult. It's a very difficult environment to do businesses. We believe that Iraq is slowly coming out of that. We are seeing some positive indicators moving up in the pharmacy spectrum sort of other investments that we have, we are seeing that Iraq is starting to do much better. So we are hopeful that it will do better. Libya is still very much up in the air. The big markets like Egypt, Saudi Arabia, Jordan and Algeria are actually doing very, very well. Like I said, it was a good time to see, to take, to do this change in Algeria. So we're very optimistic for moving forward. The markets will continue to do very, very well.
James Gordon - JP Morgan: Could it be that profitability would be worsened in the second half because there is some other steps that you've got to take or all in all if you take them, the mix between both, we are expecting that the module will be -- and that's lower than last year. So we are not giving specific guidance on what -- you have to take a guess, but the second half is going to be stronger and therefore margins are going to be ultimately stronger in the second half than the first half. Thank you.
James Vane-Tempest - Jefferies: Thanks. This is James Vane-Tempest Jefferies. I just have three questions please. Firstly on the U.S. or generics business increasing your guidance, you talked about specific opportunities as well as launching new products in the second half of the year. Can you give us a sense of your overall target for the year, how much of revenue you saw from non-specific opportunities to the actual underlying business?
Khalid Nabilsi: In Greece, we raised our guidance 200 million. We are not giving details by product, specific products. But as we said last year and this year a significant portion of our revenues last year were coming from specific market opportunities. This specific market opportunity is continuing through this year. However, we are saying that this specific opportunity that we have there are other competitors coming to the market. We might see some more competition on pricing. So we can't give exactly or estimate how much is going to have an impact. This is why we said that we are expecting the second half is to be lower than the first half. But at the same time we raised given the initial performance that we have for the first two months of the year. We are expecting that sales for the generic business to be around 200 million. I don't know how many of you have covered U.S. generic companies. But when I look at competitors, I look at the -- most companies that are either U.S. based or have a strong position in the U.S. are doing very well the last few years. So the market forces are changing, I believe, in the market. So we've had opportunities, we might have other opportunities, you have to do the best that you can. But of course some opportunities, we can't expect them to stay where they are. Clearly, they will, but other will come around. But overall if you look at the U.S. based companies, they have done extremely well the last few years in the States.
Said Darwazah: Even the other products that we have, the legacy products, we are seeing good demand for the other products. So it's not although we have very old products that we are selling like in very small sales. Now, we are seeing it's probably not under the sales or accelerating. So it's a mix of both. The IMS data is available, you can look into that and you could figure how much is the opportunity out of the total sales?
James Vane-Tempest - Jefferies: Thank you. My second question then on the tax rate you lowered the guidance for that for this year. Can you talk a bit about some of the tax planning strategies you were doing, I'm understanding, was for the great proportion of profits coming from the U.S., tax rate could possibly be higher. It's raised to 25% this year is can you be meaningful earlier this year, so any source now will be helpful.
Khalid Nabilsi: If you want to talk about our tax planning initiatives, maybe we need a one-day session to talk about. It's a very complex -- We strengthened our international testing and we have likely three people now looking into different initiatives. We work with our advisors. We are very careful to follow the regulations. We put certain plans in place from two years ago and these plans are giving us good, closer to fruition. It's not specific target to sort of outside country across the different regions. And then you are seeing the result of that. This is why we've managed to reduce our effective tax rate over the past two years. We are guiding this year to be around 25%. There might be some upside potential on this on the short and medium-term. But this is what we can give at the moment.
James Vane-Tempest - Jefferies: Thanks. My final question is on the European injectables business that was declining in the first of the year. Can you talk about the environment for European injectables business?
Khalid Nabilsi: I'd say it's -- in terms of volume the business is increasing, our own drugs is growing. Despite pricing over different markets especially that 134 sales in Europe versus in Germany. Excluding the contract manufacturing, but at the same time we have seen that the contract manufacturing business, we are allocating more of production to the U.S. and reducing the contract manufacturing business taken for the strong demand of the U.S. So this is the main reason for the declining over the years.
Ramaswamy Narayanan - Citi: Ramaswamy Narayanan from Citi. So, a couple of questions for Said and one for Khalid, when I look at your interim statement on the 15th of May where you did reiterate your guidance for the full year. So something really changed in the last 45 days of the first half. What I wanted to understand was on the branded side is it something that -- have there been increasing challenges since the start of the year? Was it something towards the middle of the year and to continue to towards the end of the year? That's my first question.
Said Darwazah: Again, as I said, the main markets we have Egypt, Saudi Arabia, Jordan and others are doing very, very well. Again, as I said, Algeria, which is a big part of the decline in Algeria, if you look at the IMS numbers these sales are going well in numbers. So it's clearly not a question of -- us not being able to guess that. I remember when I did my MBA; one of the first case studies was Moulinex versus Carrefour. I took that case study. Moulinex that thought you are the biggest, we should have something like that. The distributors are, the market is growing and these are distributors that were very, very small a few years ago. Something in their finding that results to be very -- they are making tons of money. And I think there is a bit of -- they don't want to get into trouble, but there is a bit of greed on their side, there is a bit of non-professionalism. We're trying to introduce best practices. We are trying to do some professional best practices attitude into the market. And it's taken s stall. We are saying, this is what we will introduce. These are the days we are allowing to give you. And that said we're not going to give it. So there is this little bit of lag there. I believe this should be rectified soon, the other markets going up.
Khalid Nabilsi: If you look between May and today, there are certain markets like Iraq, Libya and Sudan. These are not like your daily sales. It's as you sell -- some times you sell one tender. It's a timing difference. So you would expect that maybe by May, by June you would be able to achieve your sales target. But if you look into these three markets on a standalone basis, combined, they are 55% better than last year. That is a 55% last year, it's not significant, but it's like 14 million on a six month. So this is why at that time maybe we couldn't have like, okay, the sales are coming or they're not coming. They might come, but things get worse and during June, the border between Jordan and Iraq has closed. We don't want to take the risk and ship. So there are certain things affected our ability to forecast and this is exactly what happened. In addition to what Said mentioned about Algeria, now we went too many miles as well as sales to certain customer to manage credit risk, change our position in the market. This is a temporary outside one-off, and then next year things will -- it should go better.
Said Darwazah: As an investment in preparing our team and the market there for the future growth, because we do believe that Algeria will be the best market overall. In the other markets, the demand is there. Demand is there, I mean, if we are willing to ship without letters of credit and things like that, the demand is there. Clearly the need has increased, not decreased. So the demand is there, it's just a question of managing your finances and how much credit risk you are willing to take and so on.
Ramaswamy Narayanan - Citi: So that naturally leads to my second question, which is if you look at straight expectations for the MENA branded business. I think there is almost consensual view that that business could grow high single-digits, low double-digits, but with slightly rising profitability year-on-year. Are you comfortable with those sorts of expectations medium to longer term for that business.
Said Darwazah: Yes, definitely.
Ramaswamy Narayanan - Citi: And my last question for Khalid, I'm actually amazed that I'm going to ask this question, which is I've asked you questions about maximum leverage that you're willing to take in terms of as a group. But if I were to look at minimum gearing that you'd like to always maintain to run the business efficiently and to have efficient capital structure given the amount of cash that you're generating. Is that a minimum capital structure that you want to maintain?
Khalid Nabilsi: It depends on the opportunities that we have. Now, even the cash that we have, we are investing into it in a way that could, I would say, give us good return. That's that we have as well as not that expense, again, it's competitive. So the way we loom into it, okay, it might close as 1 million or 2 million, but at the same time you have a bulk of cash or facility available to do further acquisition when one opportunity comes. As I mentioned, two years ago, we had one M&A team. Now we have different teams in different regions. So we're actively looking into acquisition targets into different regions, different segments. I think our capital structure will change over the period of time. I don't see that having cash and debt at the same time is at this level is going to be, I'd say, something that could impact our results. It's something that we are managing at closely. We evaluate the risk. If we end up let's say with having a high cash balance. There are debts that we can repay. But it's too early to take that to core. And at the same time we are considering other options to refinance or restructure all facilities that are different types to finance the facility. For Bedford, we might look into syndicates, we might look into bond. So there are teams that are looking at different structures.
Said Darwazah: I'm sure the M&A team will use all of our discussion sooner than later.
Savvas Neophytou - Panmure Gordon: Savvas Neophytou, Panmure Gordon. Let me ask that question in a different way. Is the special dividend payment that you announced this period one of the mechanisms you have to maintain a certain capital structure?
Khalid Nabilsi: I'd say, the special dividends reflect the specific market opportunities that we have in the U.S. At the same time, we don't want to go, like, set a base for your dividend, and some of these opportunities wipe away. And then suddenly you reduce your dividends. That's not the case. So it's really just a matter of messaging that we believe that our underlying business is performing very well. At the same time, given that the extra profits that we're having from these specific market opportunities, we're giving $0.04 per share for the shareholders.
Yulia Gerasimova - Goldman Sachs: Good morning. My name is Yulia Gerasimova from Goldman Sachs. I have few questions on the Bedford acquisition, and basically on the manufacturing side if you're quiet presently. As I understood right now, you're transferring some of the most available recruitment to your facility just to speed up the process of production, but going forward, what are your plans for the Bedford manufacturing site? Do you think to invest heavily in remediation of the site? And if yes, any estimation of the costs that you may incur, like any investments if you may have?
Said Darwazah: The site currently contains the R&D center. And we're using -- I mean the R&D team is there working on of course the businesses that we've been working on, but also we're using them to help us with the transfer. The plans today are basically to take as much of the equipment that we can find that can be transferred, and transfer them over to our other facilities enhancing our ability specifically with the lyophilizers and the oncology would give us an opportunity to really expand our oncology and lyophilizing business besides toxic business with these equipment. So that's the only plans we have at this moment for the sites.
Yulia Gerasimova - Goldman Sachs: So, basically all this capacity that will remain there, so you just will leave it as it is …
Said Darwazah: For the time being, we don't feel that we need this capacity. As I said, we're going to move equipments, especially lyophilizers and to enhance our cytotoxic capabilities, because a lot of their products are oncology products, and it's going to take time for that. So the plan we have in place is a three-plan that will take the products on to the market by 2017. At the time being, we don't see any need for reactivating the facility there. So, no extra expenses for rehabilitating the facilities.
Khalid Nabilsi: So, there are certain machinery that will be transferred to our Cherry Hill facility, so that we'll start producing out of our Cherry Hill facility. There are certain as Said mentioned, oncology drugs will be moved to Germany. At the same time, we're going to expand the capacity in our Portuguese operation. And our team has been looking into this machinery for quite some time, and I think it's a very good opportunity even in terms of value for this machinery to be shipped to our -- or transferred to other locations. Now, as Said mentioned, the R&D facility, there will be costs for that. It's something -- it's strategic fit for us. We believe that we'll be able to tech transfer all these products with the support of the R&D people in Bedford. We have a very experienced team there. At the same time, we're going to evaluate, not now, in the future, whether we need to add or take more of the machinery and expand, it depends on the demand, maybe in the future if we decide to reactivate it's not something that is going to now involve a significant amount of cost. The cost to maintain the facilities is going to be very low. And this has been taken in our guidance that it will be slightly dilutive. So it's not going to add significant amount of cost to the injectable business.
Yulia Gerasimova - Goldman Sachs: Thank you very much. And continuing with the Bedford, so you also said that majority of the 20 products that you're tech transferring will be done by the second half of 2015. But there are also, I think you mentioned on the call when you acquired Bedford that there are some products where you have -- basically you can do the same technology you can do that reduces produces products right now in your facilities, which require very fast FDA approval like [30] (ph) days FDA approval. Does it mean that probably we might see like, few products coming to market much earlier than the second half of 2015?
Said Darwazah: The way -- I mean our team, we also brought in outside advisors to take a look at the different files, and they try to distribute them into groups that they thought this has the least amount of work to be done, this has a little bit more work and so on. That's how they decided to go with these first and these others. But as we said, they have -- they already have many products filed that might be -- you might get approvals for. So, the plan is probably, I'd say, a realistic plan, maybe more than on the conservative side, but it's a realistic plan, but there might be opportunities that might come out faster than we expect, there might, yes.
Yulia Gerasimova - Goldman Sachs: My final question; is your guidance for 2017, the $150 million, does it include -- basically you're -- part of the Bedford portfolio is right now on the shortlist released and there is some special opportunities as well associated with this portfolio. So, does this guidance include this or this kind of special opportunities always just -- basically your estimation of the regular or normal demand for …
Khalid Nabilsi: Yes. We're not able to give you a special opportunity for the next six months. In 2017, we might find that the specific opportunities that depends on the market dynamics and volatility. So I'd say, this is the analysis that we have done based on the current information that we have. We might find good opportunities at that time. These opportunities might not exist, but I'd say, our team done with advisors, regulators looked into each product and put a plan when we're going to launch them. So we'll start building sales in 2016, and then it will increase in 2017. But to answer to your question, yes, there might be opportunity, might we have like one product or two products that can be big and it might not, but it's very difficult to tell today.
Said Darwazah: Execution is very important, but we feel comfortable with our ability to execute. So, the other thing will be the regulatory authorities, how they view things, how -- if they're under pressure to get things expedited or not. So this is something we cannot control. From an execution point of view, I think we have a very good plan in place. We have very good team. We're bringing in anybody that can help us execute from within or from outside the organization. So we feel very comfortable with the plan that we put. Again, the regulatory authorities might delay or they might expedite, it's …
Khalid Nabilsi: The way we have to think about the injectable business and the opportunities that could arise, the most important thing is to have the infrastructure which we have. We have big facilities. We have the capacity of experienced management team. We have experienced sales force. And we have a broad range of product portfolio. So this will give us the opportunity to capture, and certain products maybe one product will go down, the other product will go up. The more we beef up the product portfolio, which we're working on in buying products, adding intangibles, adding product acquisition, consolidating our position, and the top tier in front of other competitors, like, our peers who are playing in the U.S. market.
Yulia Gerasimova - Goldman Sachs: Thank you very much. Thanks.
Satheesh Nadarajah - Barclays: Thank you. This is Satheesh Nadarajah from Barclays. I have two questions, please. Firstly, if we look at your H1 performance, you essentially achieved two thirds of the earnings that consensus estimates were looking for the full year …
Said Darwazah: Actually if we go back to the beginning of the year, we achieved full year results in the first half.
Satheesh Nadarajah - Barclays: That's fair. I should add we were ahead as well. But is there any reason as you look out, and you had mentioned some uncertainties around increasing competition pricing, etcetera; is there any reason to think that your performance in H2 should be much worse than what we saw in H1? And then -- and that's from a profit perspective, and then linked to that, should we be looking at the run rate in H2, is that a relevant proxy for what we should expect to see in '15, '16 and onwards, please?
Khalid Nabilsi: Now, if you look into them segment-by-segment, branded business are going to be stronger in the second half rather than in the first half, and we believe on the short and long-term prospect of that business. So we believe that the business would go back to normal as Said explained earlier. Now, for the injectable business, if you exclude these, I'd say, market opportunities still the underlying business is doing very well, and it's still growing. And margins as we said in the past, the margins for the second half reflects -- it's a realistic reasonable margin, that's still healthy worked out about, let's say, 30%, which is something on the short-term is something that if you exclude the opportunities, it is something that other as well competitors or peers they're having. So it's not like the bad or weak performance. For the generic business, the business is still building. We are introducing drugs. We're seeing big demand for other drugs. So even if we exclude the opportunity that we have for the generic business, the underlying business is still doing well, but at the same time we all know that we have old products that we need to invest in acquiring products and invest in that business if we want to grow that business and be a strong, I'd say, business focus on high value products. So this is what we're doing. So, if you exclude all these one-off opportunities that you can get from the IMS, these one-off opportunities as well as they're not going to be zero, they're going to stay. There underlying performance for these. Doxycycline, for example, in 2008 was one of our top sellers. The other big one product that we're seeing a good demand it was our top sellers in 2003 and 2004; business changes. So we still believe the three segments, and this is the diversity of our business model, this is one of our strength. MENA has not done very well. In the first half, our injectable and generic did well. So all in all, I think the business we'll be able to capture on certain opportunities and we'll have a strong, I'd say growth on revenues and profits on the medium and long-term.
Said Darwazah: Thank you very much. Thank you.
Operator: And there is a question, I'm sorry.
Said Darwazah: I'm sorry. Right. I didn't see … telephone?
Operator: Yes. We have a question from the line of Guillaume van Renterghem from UBS in London. Please go ahead.
Guillaume van Renterghem - UBS: Yes, hi. Can you hear me?
Said Darwazah: Yes, yes.
Guillaume van Renterghem - UBS: Yes. Hi. I'm trying just to get my head around your branded business and try to remove Algeria, for instance, so if you wish to remove Algeria, what kind of growth you'd have had and what kind of margin improvement or deterioration you'd have in H1 2013? This is the first question.
Khalid Nabilsi: If I understand your question well for the branded business, if we exclude Algeria and if we exclude the troubled market, our growth in the branded business would be double-digit growth. And margins, if you look into our gross profit margin for that business even if the sales are flat, it's still in line with last year. What we've done differently for the first half of this year that we've invested a lot in sales and marketing activities due to product launches. So maybe that same level of marketing activity is not going to be repeated in the second half, but we'll continue to invest in that business, and margin I think -- I believe that they're going to go back to the level where they were in the past. So this is, I'd say, a one-off temporary, I'd say, decline in margins, but you have to think of 2015 margins would go back to where it was pre-2014. Have I answered your question on this?
Guillaume van Renterghem - UBS: Yes, thank you.
Khalid Nabilsi: If we want to consider some opportunities, it might go up there more than that. At the same time, if the competition increase in certain products, which they're, then the margin could fall below that, but it's going to be temporary. As I said before, injectable; it's about the management, it's about the sales force, experience, infrastructure and the product portfolio that you have. We believe that we can grow this business and we'll be able to grow the margins, but we can't give guidance based on opportunities. That's it.
Guillaume van Renterghem - UBS: Thank you. And basically, on Glyco, maybe can you tell us if you see more competition coming? Do you have more visibility on Glyco that you had, or you have, on Doxycycline?
Khalid Nabilsi: We see one of the supplier is on and off supplying the market. We don't know how long they're going to supply, but this is all what we have.
Guillaume van Renterghem - UBS: Thank you.
Operator: We have no further questions on the phone lines at this time.
Said Darwazah: No? Okay, thank you very much everybody.
Khalid Nabilsi: Thank you.